John Hamilton:
,: As a reminder, today's conference call contains certain statements that are or may be deemed to be forward-looking, which includes statements other than statements of historical fact. Forward-looking statements involve making certain assumptions based on the company's experience and perception of historical trends, current conditions, expected future developments and any other factors that we believe are appropriate under the circumstances. Although, we believe the expectations reflected in these forward-looking statements are reasonable, actual facts or results may differ materially from those projected or implied in such forward-looking statements due to known or unknown risks, uncertainties and other factors. And for your knowledge, our results was released this morning and a copy of the press release and our presentation are available on our website. Next slide, please. As a reminder for those of you who are familiar with us, you have the chance to ask some questions at the end. You can either raise your hand using the icon you can see on the right of this slide. And we will unmute you and you can ask your question verbally or if you'd rather type a question, you can type it into the question pane and we will endeavor to answer all the questions we get unless they're repeat questions from things we've already dealt with previous questions. And I'll repeat this prompt at the end of my presentation so you can ask questions if you'd like to. Next slide, please. So most of you may have seen it this morning, we've announced a record quarterly and record nine-month financial performance. This has been our best performance ever. That's really been driven by the step-up in liftings from July onwards, which are starting to bubble through our results. You can see on the left, the year-to-date at the end of September with very strong financials, indeed record financials with almost $90 million of EBITDA. And our third quarter highlights themselves are, kind of, driving most of that which is as a result of our first really big lifting in July of this year generating the lion share of the EBITDA. So really as communicated, the second half of this year is really when Panoro is starting to hit its stride, and obviously, that will continue into next year. We're very, very pleased with the financial robustness of business some balance sheet numbers there which have been pre-communicated on the right which I think have all been digested by the market already, but a very strong good balance sheet there. And that's allowing us really to announce an inaugural cash dividend to be declared at our fourth quarter results in February 2023. I'll talk a little bit more about that in the next two slides. Could I have the next slide, please? So every company is different. Panoro we are on a growth trajectory and we're really looking at how do we allocate capital given who we are as Panoro in this moment in time. And so the way that we the management and the Board have looked at this in a great level of detail together with our lending institutions who are important financial stakeholders in this business as well. So we look at ourselves now we are in a position where we're growing our production as we come into 2023. So we'll be going from roughly 8,000 barrels a day up to 12,500 barrels a day or higher in the next 12 months. And there's further production growth anticipated in there. So what do we do with our post-tax operating cash flow? Well the first and most important thing is we have to dedicate it towards production and development CapEx. So we've guided today and it's more or less in line I think with most of the analysts' and shareholders' expectations something like $65 million, $70 million of capital expenditure next year, which is used to achieve that production growth that we're talking about. And that's mostly the Hibiscus Ruche development in Gabon and Dussafu. But it's also some infill drilling that we have in Block G in Equatorial Guinea where we're proposing to drill three new production wells in the second half of next year -- probably towards the end of next year. So against the backdrop of that what can we do in terms of offering our shareholders also a return for dividend and additional capital returns? So we're looking at a quarterly cash payment that we would like to make, an additional capital return which can be done in the form of a cash payment or indeed a share buyback. We'd like to retain the flexibility for both of those. And against that we want to retain some balance sheet strength we are interested wherever possible to repay our debt. So we anticipate paying next year about $20 million of debt repayment next year alongside that core dividend. And we always would like to keep a balance between shareholder distributions and early acceleration of debt. So we're going to try and keep those two things in harmony. We believe that is the best use of our balance sheet, keeping our various financial stakeholders in balance with each other. That's very important to us. Now, if there's excess cash flow beyond that, of course, we can look at special dividends, share buybacks, we can accelerate our debt repayment, which I think you would tend to do. Exploration and appraisal, we will continue judiciously and carefully to add smaller infrastructure-led exploration to the portfolio as we announced in Equatorial Guinea recently and we'll come back to that one. And, obviously, we're always acquisitive if we can find something that's opportunistic and accretive. Of course, we're going to look at it, if it's in the best interest of the company and its shareholders. So that is kind of the framework that we are setting out when we're looking at shareholder distributions. If I could have the next slide, please? So against the backdrop of that, what we're announcing today is an inaugural first cash dividend to be paid in the first quarter following our February results, our Q4 results. And our target payout, which is a core plus an additional capital return is up to $30 million during 2023. This is very much a 2023 statement. Now, at 2024, we can maybe come back to that. The way we look at it, is we're in about an $80, $85 oil environment right now. And if we can maintain that $80 oil price environment, we see ourselves as capable of paying and wanting to pay a $20 million core dividend during the course of 2023, which will be paid on a quarterly basis and it will be weighted towards the second half, which is when our acceleration of our production happens, when therefore more liftings, more cash flow moments happen. So there could be a bias towards the second half in terms of the amounts, but we intend on paying it quarterly in cash starting in the first quarter of 2023. So, this is -- again, this is subject to $80 and no material change in the operations of the business. Clearly, we have to keep an eye on making sure that everything is going more or less to plan. Now, if oil prices are -- on a realized basis are going higher, we want to be able to share that with our shareholders. And if we're achieving, say, in excess of $90 a barrel, we can see a capacity to do an additional capital return, an additional $10 million paid in the form of cash or share buybacks or maybe a combination thereof. And that's something we're very, very focused on. Now, again, we're in the $80, $85 oil environment right now. Everybody's got their own view of oil prices. But should we move to a position where oil prices are, say, in excess of $100 a barrel next year, we easily see the capacity to pay a special dividend on a discretionary basis and we would really look to return a substantial portion of excess cash flow to shareholders of that excess cash flow generated from that $100 oil. So as you can see, it's very forward-leaning here. We want to share the upside in the oil price with our shareholders and that's very much the intention and that's been discussed amongst the Board and amongst our lenders who have been extremely supportive in this endeavor. Next slide, please. So, again, getting back to what our production growth looks like. We, year-to-date, including production as of a couple of days ago, we're averaging about 7,700 barrels a day. We see that at around 8,000 barrels a day, as we get to the end of the year. And as people know who follow us, we are expecting during the course of 2023 to get up to greater than 12,500 barrels a day with the bulk of that coming from the Dussafu development. We can talk a little bit more about. So we really are on this upward trajectory, which is, I think, is going to put us in a place where we get much more steady state, if I can put it that way, in terms of production and cash flow, as we get through the year. So, really, it's another transformational year for Panoro in a different way, transformational in the sense, not through acquisition, but more of organic production growth. Next slide, please. Our liftings are what's driving the financials. As you've seen in Q3 we had a very, very strong Q3. Q4 also looks like it's going to be strong, may be not quite as strong. Oil prices have come off a little bit, but we're lifting approximately 750,000 barrels, with a further cargo in Equatorial Guinea in Q1 next year. So we come into the first quarter next year with another good sizable loading as well, topped up by smaller Tunisian cargoes. Our hedging is rolling off. We had some historical hedges we put in place a couple of years ago, 600 barrels a day. The last of those roll off in December. So we're going into 2023 unhedged. Now, what we will endeavor to do during the course of the year is to target tactical hedging around our liftings to try to protect that $80 oil that we referred to before. So you will see us, I think entering the market to try and underpin that dividend story around $80 a barrel. So you will see us do some tactical hedging, probably not very long-term hedging, but certainly in around three to six month periods in and around our lifting profile you will see some increasing hedging for us going forward. But that is much more tactical than longer term at this point. Next slide please. This is a slide we intend on putting up every time just an overview of our CapEx and our debt. The core messages here really are that CapEx guidance is maintained. The $65 million we've mentioned all year we look like we're going to be more and more or less around that $65 million depending on exactly how it falls at the end of December. But it looks like that's on guidance and we've debt repayment of about $20 million this year $19 million. So everything is going according to plan on the balance sheet side and on the CapEx side. So, that is all guidance. In our press release today and in the earlier slides, we referenced about the same amount of CapEx again for next year $65 million, $70 million of CapEx for next year. And again, we hope to be repaying about $20 million of debt in 2022 and at least a similar amount in 2023, if not more depending on oil price. Next slide please. Again a slide we intend on showing every time. This is a sort of a nine-month cash flow reconciliation to kind of bridge cash flow. So everything is transparent. This is more or less a repeat of what we showed at the second quarter result has been updated for the third quarter events. There was at the bridge of the June and July there, we had taken a sort of prepayment on our cargo, which was a $35 million advance on the cargo, which we then received. So that straddled the June 30 balance sheet date. So sometimes that requires explanation. We don't have a similar event at the end of September here. So we've not needed to draw on the working capital line that we have available for us prepayment on the cargo. So, there'll be no similar events at the September 30 balance sheet date. Next slide please. Equatorial Guinea. Operator Trident Energy is undertaking workover program. At the moment, we're having a big ESP submersible pump conversion program. We completed one in May and the second one has been completed in November. We've entered into a rig contract for the Island Innovator to come in and drill three production wells and an exploration well, which I'll touch on in a second. In the second half of next year probably September, October is when that drilling campaign might start. This has all been preannounced. There's nothing new here, but very much looking forward to bringing some new production online. We believe these new wells should expect to add at least 10,000 barrels a day gross to the field, if not more. We also announced during the quarter a farm into Block S. Block S is just outboard of you can see it on the map there, it kind of surrounds the existing field there. This is a Kosmos operated exploration block. We're targeting something called Akeng Deep, which is testing a deeper Albian play system in the area. And we're looking at -- which mean un-risked gross prospective resource of around 180 million barrels. Anything that's found here can plug right back into the infrastructure we have here infrastructure-led exploration, which is the kind of thing that you'll see Panoro interested in doing rather than more wild cap type of stuff. We're going to be looking at near-field exploration. We're very, very excited about that one. So we basically aligned ourselves with Trident and Kosmos, who are our partners in the wider Block G. Next slide please. Gabon. I know that BW has already been out with the third quarter. So this is all looking at the market, so to speak. But what we're all very pleased to say is that Dussafu has had a few moments where things haven't worked out so well over the past 12 months, gas lift compressors and delays. But now, it looks like everything is falling into place nicely. At the moment as those of you who follow us know, we have four to six wells on production now waiting for the gas lift compressor. The gas lift compressor has now arrived in Gabon. We're simply waiting for the heavy lift vessel to take it on and then install it on the FPSO and that should be fully operational early in the first quarter. So we're going to expect that to boost production materially immediately as soon as that thing comes online. And then of course, the Hibiscus Ruche Phase 1 development is now falling together very nicely. We've got the BW MaBoMo. You can see it there, the platform the converted jack-up. You see in situ installation of the 20 kilometer subsea pipeline is completed. We've got the rig contracted. It's going to arrive shortly on location. We hope to be drilling early in the New Year with first oil coming towards the end of the first quarter. We're going to be drilling four Hibiscus Gamba wells and two Ruche Gamba wells, and we've got two more slots option on the rig, which we may choose to look at perhaps some near-field exploration as well. That's not been decided yet, but we do have the option of two more slots on that rig which is exciting. These six new wells are expected to add gross production of about 30,000 barrels to the current around 10,400 barrels a day. So this is a material boost in production and that is what's providing us the big lift off during the course of the year. Next slide please. Tunisia is going great. We've averaged about 4,000 barrels a day this year so far. We've had a couple of pump failures and things like that. But at the moment, we're producing in excess of 5,000 barrels a day and there's a lot going on in this asset that, I think is incrementally going to add to our production very, very nicely. There's lots of new production opportunities. We're looking at a recompletion at an important well coming up in early January, which could be a very interesting well for us. We're continuing to do lots of subsurface work and remodeling these fields. We also had a recent extension on our exploration permit there of Sfax Offshore by two more years, where we're doing some seismic reprocessing. So this asset continues to be a real good piece of our foundation, our NAV foundation here and we do think that there is considerable upside here too which we need to demonstrate to you all next year perhaps. Next slide please. South Africa we had a disappointment with the Gazania well. We announced that, a couple of weeks ago together with our partners. The well did not encounter commercial hydrocarbons unfortunately. We do think it was a very, very interesting well to drill and an exciting area. Unfortunately, this one didn't come good for us. Our financial exposure to this was very limited. And so we're moving on. And we also have our TCP, which is our Technical Co-operation Permit, which we announced in the summer. We have a one-year agreement with the regulator to study this area for helium gas and for shallow biogenic gas. This is a business model, which is being explored as you can see in the Virginia gas field there, where this is now being commercialized. It's a $300 million or $400 million market cap company here, commercializing helium and natural gas, which is there to displace the use of coal. And obviously, helium itself is a very, very valuable gas, if you can find it. South Africa is an emerging province for helium. And there's a real ESG angle here in the displacement of coal, which represents something like 80% or 90% of South Africa's energy consumption is through coal and electricity. And what a number of players, including ourselves are trying to do is trying to exploit domestic gas to displace that coal. We got a – we're about halfway through our TCP. This is really a desktop study although we've been down there. It's not consuming much money, but we do think it's an important part of an incubation strategy around this potentially important ESG linked development. Next slide please. Final slide, and then we can turn over to questions. I'm repeating myself now but we've had a record year so far, a record third quarter. We've got visible, very visible increasingly visible organic production growth, which we're very much looking forward to which should hopefully carry us to in excess of 12,500 barrels a day during the course of 2023. We have now articulated we hope a progressive shareholder return policy, which is recognizing that in cases of high oil prices, we can be more aggressive. And in modest oil prices around $80, we can still demonstrate to our shareholders that we're interested and committed to returning capital. With the inaugural cash dividend to be declared in Q4 during our results in February, we will talk about exactly how that $20 million is going to be built up in our view. So with that, I'm going to turn it over to questions. My colleague Andy is going to police things here. And as a reminder, you can either raise your hand using the hand icon, or you can type in a question on the left.
A - Unidentified Company Representative: Thank you, John. The first question comes from Stephane Foucaud of Auctus Advisors. Stephane, please go ahead.
Stephane Foucaud: Yes. Good morning guys. Thanks for taking my questions. I've got three. The first is around -- the first one is on distributions. You talked about shareholder distribution at $80 and $90 a barrel. But we have witnessed oil prices much higher than that recently. So I was wondering, how would you see shareholder distribution at oil price of over $100 barrel? I wonder whether you could quantify and/or you have some framework or formula in mind on how this could look like. And similarly with financial position in Gabon to be achieved in Q4 2023 increasing production, CapEx is likely to be lower in 2024, which probably implies higher free cash flow in 2024 and again what do that mean for shareholder distributions in 2024? My last question is around -- my continue on, the reported tax in Q3 2022 was well-above the cash tax. And I was wondering when would you expect that tax to be due? Thank you.
John Hamilton: Right. Yes. So we don't have like at this point a pure framework in terms of percentage of free cash flow to be distributed to shareholders. We just feel, we're just one step before articulating something like that. Perhaps we can get to that model in the second half of this year certainly going to 2024 when we have better visibility on the world, and obviously, de-risking the production buildup. So what we've tried to articulate today Stephane is that in a $100-plus oil environment, we are going to be throwing off a lot of free cash flow. The way we look at it $80 is a good level. On that basis we're easily able to cover our CapEx, our debt repayments and some form of shareholder distribution. But for every $10 higher oil price, we get enormous leverage to free cash flow because a lot of the fixed costs in the business, so the CapEx and even a lot of the OpEx is fixed. So we're getting a huge leverage to increases in oil prices. So if we get to like $100, $110, $120, we're kind of way off-piste here in terms of our free cash flow generation expectations. And so the way we've tried to articulate it rather than be extremely specific around it is say we're going to return a substantial part of that excess cash flow to shareholders. There's no reason not to. We've got good visibility on our CapEx and we should be able to return a substantial portion of that to shareholders. Obviously getting back to an earlier point I made as well we try to keep that in harmony with our debt repayments where we want to try to de-lever as well. That's very much in our mind that we try and keep those two things in balance, deleverage and return cash to shareholders. Your point on 2024 is well taken. Hopefully we'll be at a more steady state as we sit here a year from now. Hopefully we'll be producing big numbers, new wells in Dussafu coming on with the prospect of the new wells in Equatorial Guinea coming on in early 2024. So we're going to be a lot of CapEx behind us. I think you'll see us able in an oil price environment like we have now to be more aggressive than we are now, because we will have achieved a little bit more of a steady state what we believe to be a more steady state Panoro at that point. A lot of the CapEx behind us we will have achieved the production levels. We'll have more in the tank coming with the new wells in Equatorial Guinea and ultimately, of course, another Dussafu development in Phase 2, which should be down the track there as well. In terms of the cash taxes versus the accounting taxes, I mean Qazi do you want to try and grab that one?
Qazi Qadeer: Yes John, thank you. So Stephane most of our taxes are again time driven and a bit lumpy. So you would see a rather high provision in the September 30 numbers. Part of it is 2022 taxes of about $13 million, which were paid in the fourth quarter. There are provisions both in Tunisia and Equatorial Guinea. I would say all of Equatorial Guinea taxes are going to be payable next year in the third quarter. And in terms of Tunisia, majority of the taxes are in relation to our license, which is on our annual payment calendar. So they will also be paid in the end of the second -- sorry first half of the next year. If that answers your question?
Stephane Foucaud: Yes. Thanks guys, that's very useful.
Qazi Qadeer: Okay.
John Hamilton: Yeah. So normally what happens is obviously under the PSCs a lot of the tax is simply through the government barrels right, which as most of you will have modeled those. But in Equatorial Guinea and Tunisia we also have a degree of corporate tax and those are usually paid once a year kind of in arrears as it were. So sometimes we do get some lumpy tax payments, based on the previous year's production. So there's a nice timeline going from a working capital perspective, but it's still payable ultimately. And that's what you'll see in those provisions, I guess.
Stephane Foucaud: Thanks.
Unidentified Company Representative: Thank you. And the next question is from Teodor Sveen-Nilsen. Teodor, you are unmute it. Please go ahead.
Teodor Sveen Nilsen: Good morning. Thanks for taking my questions and congrats on all-time high earnings. I've three small questions here. I just want to follow-up on the dividend. Just in a God forbid, but if oil price will be below $80 for 2023, how far down can you see oil price and still will pay dividend? And my second question is, I noticed you made a minor change in the wording for the 2022 production that you now expect above 8,000 around. Is there anything new on the expectations for fourth quarter production? And my last question is, just on, general cost inflation. For 2023 CapEx guidance, how much cost inflation have you assumed or incorporated in your updated guidance? Thanks.
John Hamilton: Okay. Yeah. I mean, if oil prices are structurally lower than $80, I think we are going to prioritize paying our CapEx and continue to chip away at our debt. Look, if its $78 or $79 look obviously we're going to try to stick with it. If it's structurally lower, I think we're going to prioritize the CapEx and the debt repayment where we can. But we'll clearly endeavor to still try to pay a dividend. We kind of pitched it at $80 because we think that's a sensible level under which to do that. We ourselves are oil price pools, and having said that we've seen a $50 swing this year year-to-year of the oil prices. So I think we have to say a little bit nimble in the case of lower than $80, just making sure that everything is coming together nicely. And we'll continue to update the market if oil prices drop in terms of how that might look and what kind of consequence that might have. But at the moment with our crystal ball, we think $80 is a good place to pitch. It is kind of where the forward market is right now things are all quite flat right now. But we'll continue to message this as we get through the year and observe oil prices and we'll be able to refine that a little bit better. Production yes, so we are -- year-to-date is around 7,700. We had a little bit of a soft third quarter as already announced. That's all been rectified now. So we're on the way up now. So I think our wording is a little bit that we anticipate around the year-end to be sort of structurally at about 8000 barrels a day and then lifting off from there with the new gas lift compressor and the new wells starting to come in from Dussafu. So hopefully, in December we'll be doing around 8,000 barrels a day towards in December and then, coming into the New Year kind of launching from that 8,000. I guess that's the point we're trying to make. Cost inflation, a lot of the CapEx we have 2023. I mean, it's basically split between the two big assets in Gabon. Everything has already been contracted. So we will see some cost inflation effects on things that haven't been tendered yet or some smaller pieces. But the big contracts the drilling rig the MaBoMo which you've already seen the installation these things are contracts that have already been let. So we would expect to see some cost inflation coming through, but hopefully on the minor side of things. The drilling program in Equatorial Guinea, we've already contracted a lot of the long lead items and we've already contracted the rig price some number of months ago. But I do expect that cost inflation to be there. And there's been suitable contingencies built into the budgets to address that, plus the normal contingencies that one has. So is there a risk that cost will inflate beyond that? Yes. Do I think it's going to be material to the numbers, I've given you? No. Okay.
Unidentified Company Representative: Okay. So any other question?
Teodor Sveen Nilsen: Yeah. Absolutely. Thanks.
Unidentified Company Representative: John a question online with regards to Tunisia operations. What is the potential production level that you think can be achieved on a gross basis in Tunisia?
John Hamilton: Nigel, do you want to answer that one?
Nigel Mckim: Sure, John. Let me have a go. I guess the first thing to say and John has emphasized this a bit of a soft period during the previous months with two ESPs that needed replacing. So Cercina-2 was replaced and Guebiba-3. And interestingly on Cercina-2, we added some additional perforations that's boosted production quite significantly initially as we brought that well on. And that gives us encouragement about further activity that we can undertake on the Cercina wells in the year ahead. I guess the other big point to note is that we have an additional workover that's underway, the Guebiba-10 recompletion. Now unfortunately, we've had a fishing operation on that well. So we haven't been able to complete it just yet and we're in the process of contracting a rig to come in and complete that activity. Now that has a very interesting potential boost to production levels. We are aiming to recomplete on the Douleb reservoir, the upper of two reservoirs in the Guebiba field. And in that particular well, we see the best petrophysical log of that reservoir than we've got anywhere in the field. So the team is excited about adding significant production with that recompletion. The precise levels are very uncertain. I think we say something from say 100 barrels of oil per day to up to 1,000, but there's considerable uncertainty in that. But it's a very significant add for us. So we're very excited about that opportunity coming on somewhere in the first quarter next year. And then we're doing additional work across the assets. So as John touched on, a lot of subsurface modeling work chiefly on the Guebiba field initially, but we're turning our attention now more towards Cercina having seen positive results and two workovers that we've undertaken both on Cercina-2 and previously on Cercina-3. So we believe that there's further gains to be had there. So I don't want to put a specific number on where we can get to yet because the work is still being done, but we certainly see some significant upsides in Tunisia.
John Hamilton: Yeah. Like I said, we bought the asset it was doing about 3,500 barrels a day. We're currently at around 5,000. And some of these things that Nigel refers to come together nicely. You can imagine that we can get higher than that. But we need to do the work first, but there's certainly potential there for material growth from here.
Unidentified Company Representative: Okay. John, a further question online in relation to Dussafu Marin and with the new wells coming on stream in 2023, how you see the OpEx -- how we see the OpEx at the field after the new wells are online?
John Hamilton: It's a good question. For those of you who follow us and BW Energy, BW Energy, this is their only production asset at the moment. So all the operating costs are quite transparent and they give very firm numbers on it. What you can see there is the operating cost and the current phase are quite high. I think they're in the mid-30s per barrel. And that really is a function of the fixed cost of the vessel and the operation of that vessel where there's an enormous fixed cost base that needs to be paid for by at the moment limited number of barrels. So when we get from say, 10,000 to 40,000 barrels a day that equation completely changes. And we see OpEx per barrel dropping well below $20 a barrel once that happens. So I think this year you probably see, because the production is building during the course of the year, you'll probably see that somewhere between those two numbers in terms of a target. But I think that you can easily see us in the mid-teens once the new wells are online there. So it really is going to gain much more efficiency from an OpEx per barrel as those new barrels come through. 
Unidentified Company Representative: Thank you, John. There's a question from Oddvar Bjørgan. Oddvar, you are unmuted, please go ahead.
Oddvar Bjørgan: Yes. In the $90 scenario, will you still pay the dividend on a quarterly basis, or will you wait and see if the oil prices stay at $90 for the entire year, before you make the payment? 
John Hamilton: Yes. So I think in a $90 environment, it's -- we're going to kind of try and get to the second half of the year making sure that everything is coming together on the new wells, which we fully anticipate they will, and then so that will probably be a second half weighted in terms of that. So we'll probably start the program in March with a lower number and then build up during the course of the year as increasing confidence comes and we have more visibility on the oil price as well.
Oddvar Bjørgan: Okay. Thanks.
Unidentified Company Representative: Thank you, John. That concludes Q&A for today.
John Hamilton: Okay. Well, thanks everybody. Thank you very much for listening and I look forward to updating you again in a few months' time if not before. Thank you.